Operator: Good day, everyone. Thank you for standing by. Welcome to the Vistagen Therapeutics Fiscal Year 2026 Third Quarter Corporate Update Conference Call and Webcast. Please note that today's call is being recorded. At this time, I'd like to turn the call over to your host, Mark McPartland, Senior Vice President, Investor Relations at Vistagen. Mark?
Mark McPartland: Thank you, Lisa, and good afternoon, everyone, and welcome to our conference call and webcast. Earlier this afternoon, we filed our quarterly report on Form 10-Q and issued a press release for our fiscal year 2026 third quarter, which ended December 31, 2025, and provided an update of our progress across our clinical stage neuroscience program. We encourage you to review the PR and 10-Q which are both available in the Investors section of our website. Before we begin, please note that we'll be making forward-looking statements regarding our business during today's call based on current expectations and information. These forward-looking statements speak only as of today. Except as law requires, we do not assume any duty to update any forward-looking statements made today or in the future. Of course, forward-looking statements involve risks and uncertainties, and our actual results could differ materially from those anticipated by any forward-looking statements we make today. Additional information concerning risks and factors that could affect our business and our financial results are included in our fiscal year 2026 third quarter Form 10-Q and for period ending December 31, '25, and in future filings that we make with the SEC from time to time. Again, all of which are available in the Investors section of our website or, of course, on the SEC's website. With the formalities completed, we warmly welcome our stockholders, sell-side analysts and others interested in our programs in progress. I'm joined on our call today by Shawn Singh, our President and Chief Executive Officer; Josh Prince, our Chief Operating Officer; and Nick Tressler, our Chief Financial Officer. Shawn will provide a brief business and clinical update, and Josh and Nick will be available to provide additional feedback during the Q&A portion of our call. After our remarks, we'll take questions from the sell-side analysts participating on the call. A replay of the webcast will be available in the Events section of the Investor page of our website. With that taken care of, I'd now like to turn the call over to our President and CEO, Shawn Singh.
Shawn Singh: Thank you, Mark, and good afternoon, everyone. It's been an important quarter for our team with the completion of the randomized portion of our PALISADE-3 Phase III trial in social anxiety disorder, as guided, and focused efforts to learn from the study's results and drive high-quality and efficient execution of our ongoing PALISADE-4 Phase III trial. We have reviewed available data from PALISADE-3 and implemented moderate refinements, including retraining, site rationalization and operational enhancements to PALISADE-4. We've also been working with third-party collaborators on the implementation of innovative approaches to analyze the available data sets, not only from PALISADE-3, but also from the fasedienol studies across the PALISADE program, including both the randomized and the open-label trials. Our objective is to better understand the drivers of both fasedienol and placebo response using the substantial data collected from these studies to potentially inform optimized statistical models that consistently incorporate covariants and explanatory variables across all PALISADE studies, which could anchor future weight of evidence discussions with the FDA. The analyses are ongoing with our collaborators and involves the use of their proprietary artificial intelligence and machine learning technologies to identify nonspecific responses and understand and predict susceptibility to placebo response and likelihood of response to active drug in the context of the public speaking challenge study design. Overall, the full complement of ongoing work is focused on delivering practical operational understanding, predictors of response and enhanced statistical models with the potential to impact both PALISADE-4 and our regulatory strategy based on the totality of data from the PALISADE program. The open-label extension portion of PALISADE-3 and PALISADE-4 remains ongoing and is designed to evaluate the safety and tolerability of repeated as-needed intranasal administration of fasedienol in adults with social anxiety disorder, but in real-world daily life situations. In addition to safety assessments, the study includes exploratory longitudinal measures using validated instruments such as the clinician-administered Liebowitz Social Anxiety Scale, or LSAS, and the patient-reported Social Phobia Inventory, or SPIN. While open-label data are inherently in controlled and exploratory, the OLE portion of the PALISADE-3 Phase III study could provide important context on patient experience with repeated use over time in real-world anxiety-provoking situations the patients encounter. Together with our broader analytical work across the PALISADE program, insights from open-label studies should contribute to our enhanced understanding of fasedienol drug effect and usage patterns. Once again, we'd like to thank the patients who participated in our PALISADE studies as well as the clinical investigators, the site staff and our contract research organization for their ongoing dedication and professionalism as we complete PALISADE-4 and advance our broader analytical efforts. As we've previously stated, PALISADE-4 is successful, together with PALISADE-2. In the broader body of evidence generated across the PALISADE program, these data may support a potential new drug application submission to the U.S. Food and Drug Administration for the acute treatment of social anxiety disorder in adults. The significant unmet need in social anxiety disorder, where effective treatments are very limited, continues to guide our work and our long-term focus. Turning to our women's health program. We received an official USAN adoption statement, designating PH80 as refisolone. Refisolone is our hormone-free, nonsystemic intranasal product candidate with potential for the treatment of moderate to severe vasomotor symptoms, commonly referred to as hot flashes due to menopause. We believe refisolone may also have therapeutic potential across other women's health indications. We are currently preparing to submit our U.S. Investigational New Drug Application, or IND, for refisolone to the U.S. FDA and with a planned submission in the first half of 2026. This IND is intended to support further potential Phase II clinical development of refisolone in the U.S. for the treatment of moderate to severe vasomotor symptoms due to menopause. Building on a previously completed placebo-controlled exploratory Phase IIa clinical trial conducted in Mexico by Pherin Pharmaceuticals, which is now our wholly owned subsidiary, and that trial demonstrated clinical benefit in the vasomotor symptoms indication. We believe that indication in women's health represents a significant area of unmet need, and we remain committed to advancing refisolone as a nonsystemic, hormone-free product candidate with a disciplined data-driven approach as we prepare for the potential next phase of clinical development. Turning briefly to our financial position as of December 31, 2025, we had $61.2 million (sic) [ $61.8 million ] in cash, cash equivalents and marketable securities. During the quarter, we implemented company-wide cash preservation measures intended to enhance our operational efficiency, extend our runway and maintain strategic flexibility across our Pherin pipeline. We believe we are well positioned to complete PALISADE-4 and to advance preparations and planning for our Pherin pipeline. In closing, our mission remains unchanged, to deliver transformative treatments and improved lives. The path forward requires discipline, rigor and thoughtful analysis, and we believe the steps we have taken and are taking position Vistagen to make informed decisions and responsibly advance programs with the potential to deliver meaningful value to patients and to shareholders. So I want to thank you for your continued interest in the company and your support, and we look forward to updating you on our progress in the quarters ahead.
Mark McPartland: Thank you, Shawn. Operator, we would now like to open up the call for questions from the sell-side analysts joining us today.
Operator: [Operator Instructions] The first question today is coming from the line of Andrew Tsai of Jefferies.
Lin Tsai: Thanks for the update. So maybe in the PALISADE-3 data, you had a chance to look at it maybe descriptively, how did the individual curves look at every interval out to 5 minutes? Was there a separation at all across any of those time points with fasedienol versus placebo?
Shawn Singh: Thanks for the question, Andrew. Josh?
Joshua Prince: Andrew, we -- at this point, what we've released publicly is the top line results. So we're still looking into a lot of that data. We haven't released the individual curves publicly. We do know that there's what really -- where we find information is looking into individual respondents and subgroups of respondents. And again, that analysis continues. So that's where we do see definite differences.
Lin Tsai: Okay. And it sounds like you're looking at ways for PALISADE-4 to tweak around the SAP planning, let's just say you did, would you need to notify and then talk to the FDA to potentially get an official buy-in from them that the changes can be done? Is there a risk to modifying the SAP plan, basically?
Joshua Prince: Yes, great question. Go ahead, Shawn.
Shawn Singh: No, you can go ahead. That's fine.
Joshua Prince: Great question. The SAP, just like with PALISADE-3, already been submitted and approved, no feedback from FDA. So that's set. So any future changes, to your point, would absolutely require a resubmission and alignment with the FDA before we locked the database and got the top line results.
Lin Tsai: Understood. And then my last question is, should you modify the plan, would you need to backfill back to the original enrollment target of around 236 or 238? Or are there no changes to the enrollment?
Joshua Prince: Yes. The change to the SAP would not change the enrollment or the planned enrollment for the study. The key there is that it's whatever that SAP in is, like I said, locked in before you get to database lock and then applied to the total population for the study.
Operator: Next question is coming from the line of Emily Chudy of Stifel.
Jo Yi Chudy: This is Emily on for Paul Matteis from Stifel. We just had a quick question. Maybe could you remind us where you guys are in terms of enrollment for PALISADE-4? And if you like plan on telling -- or plan on PR-ing once that has completed or like dosing has completed? And then also, could you maybe share on like what details you saw in PALISADE-3 that kind of led you to refine -- to the refinements that you outlined in the PR?
Shawn Singh: Thanks, Emily. Appreciate the question. So it will be consistent with the pattern for PALISADE-3. Once we hit the last patient's last visit and then proceed towards top line. So that will be -- we're on track with guidance that we've previously given with respect to PALISADE-4 TOR, the randomized portion of PALISADE-4. Josh, you can address the second part.
Joshua Prince: I'm sorry, I missed the second part. Can you rephrase that?
Jo Yi Chudy: For -- you guys discussed like refinements, including like retraining of some sites. Could you maybe provide any color on what details you saw from PALISADE-3 that kind of led to that decision?
Joshua Prince: Yes. I don't think -- we can't go into too much detail given PALISADE-4 is ongoing. But at a high level, one of the things that made PALISADE-3 different than PALISADE-2 was a higher placebo response. So as one example, making sure that our training is reinforced and up-to-date with sites in terms of potential ways to minimize that, in particular, kind of how the protocol is followed, the script is followed to the letter, making sure that there's no chatting with the subjects as they come in, anything that could potentially lend to a comfort for a subject that can drive a higher placebo effect. Those types of things that we're able to implement quickly based on what we see from PALISADE-3. And also because we're listening to what's happening at each site through the audio recordings that we've talked about previously, it gives us the opportunity, again, to be hyper-focused on feedback and any intervention where we see something deviating from the prescript that we've put in place.
Shawn Singh: In addition to that, some -- a focus on centralized recruitment and making sure that gets and stays completely tight or rationalized. So the kinds of things that can impact in stream execution especially, as Josh noted, with high focus on placebo mitigation strategies and best practices across -- especially from really experienced sites.
Operator: Our next question is coming from the line of Myles Minter of William Blair.
John Boyle: This is John on for Myles. I was wondering if you could talk a little bit more through your regulatory path forward and your confidence in it in the event that PALISADE-4 hits and you have a 50% program success? And alternatively, if PALISADE-4 misses, do you see any regulatory path forward with PALISADE-2 alone?
Shawn Singh: Thanks, John. Appreciate the question. So look, they -- fundamentally, we believe that the regulatory outcomes always depend not only on FDA regulations and guidance, but the totality of data, the weight of evidence, the risk benefit, the nature of the in-need population. So these kinds of assessments, this is what we align our regulatory strategies to accordingly. So we're not really in a position to speculate on any approval scenarios, but what we can tell you, of course, is we're very mindful not only of the evolving -- the way that AI is evolving within the agency and how that is emerging is part of and factoring into the regulatory decision-making be on top of that and very closely focused on that. But also just, again, the weight of evidence, once we see where we are with the randomized portion of PALISADE-4, we'll be able to look across the totality of the program. And the primary objective in the primary regulatory strategy remains, as we've said, which is complementing if PALISADE-4 is successful, complementing PALISADE-2 with a broader base of information from the totality of the program for the acute treatment of social anxiety disorder. If PALISADE-4 doesn't hit and separate from placebo, it's still the same. It's the totality of evidence focus. It's the weight of evidence focus across the program and what we see from all data, we can possibly see and analyze relating to the drug.
John Boyle: Helpful. And a quick follow-up. Is there anything that you're seeing in the blinded data of PALISADE-4 that gives you a little bit more confidence in that study over PALISADE-3?
Shawn Singh: No comment on the blinded data, John.
Operator: [Operator Instructions] And the next question is coming from the line of Elemer Piros of Lucid.
Elemer Piros: Shawn, have you noticed any impact on enrollment since the announcement on December 17? Enrollment patterns?
Shawn Singh: Josh, you can address that.
Joshua Prince: Sure. The quick answer is no, definitely have not. Enrollment has continued as planned and projected for PALISADE-4.
Elemer Piros: Okay. And so what I'm trying to understand is how could the PALISADE-3 outcome, and potentially PALISADE-4, be different by amending the SAP? Would that mean that you would include some covariates that may influence the separation between the 2 arms? If you could just help me conceptually understand this a little bit better.
Shawn Singh: Sure. I mean part of what we're doing with AI and the machine learning, it's potential, it's not -- certainly not guaranteed. And if they're -- what you're looking for are there any covariates that may have a potential fixed effect on the ANCOVA. And that's -- that may or may not evolve and emerge from the work that we're doing with our collaborators with their proprietary AI and ML. But it would be those kinds of things. Are there covariates that you notice when you look through the patient populations in each arm in prior studies in PALISADE-3, in particular, that may give you some sort of signal? So the answer is we don't know yet. And as noted earlier, if we do make a modification to the SAP that's already been signed off by the agency, then we'd have to go back to them and socialize it with them. So that's part of what we're trying to find out. If there isn't, then again, we've got operational efficiencies and observations based on what we've seen across the studies that are being implemented into the PAL-3 or PAL-4 execution. Josh, anything you want to add on that from the teams?
Joshua Prince: No, I think that captures it.
Elemer Piros: So just to summarize, you're looking at PALISADE-3 and maybe even PALISADE-2 for some covariates. If you find them, then you modify the SAP, take it to the FDA before you were to analyze PALISADE-4 hypothesizing that those same covariates will be applicable to PALISADE-4. Am I understanding it correctly?
Shawn Singh: Yes. It has to be whether -- not only whether it's timely, obviously, got to be timely before you lock the database, but it's also got to be appropriate. And there may also be potential changes that wouldn't be FDA regulatory appropriate. So it's got to be something that could be impactful, at the same time something that is reasonable with rigor and review from the FDA.
Joshua Prince: Shawn, I would just add that we're actually -- we're looking across all the PALISADE studies. So PALISADE-1, 2 and 3 to see what we can learn. We've built -- now that we've had a third study complete. We've built continued size of data to examine, which gives you more power when you're digging into different things. But you're 100% correct that it's essentially the covariates or the correction factors that you would apply in your statistical model.
Elemer Piros: I understand. And just a silly housekeeping question, if you may -- if I may. At the end of December, you had 39.7 million shares outstanding but the weighted average for the quarter was 42 million. Can you help me to understand that?
Shawn Singh: Nick, are you on?
Nick Tressler: Yes, I am. Yes. So it's shares are outstanding at the end of the quarter. It's how we measure our earnings per share.
Elemer Piros: Okay. So shares, I would say -- but there are higher number of shares outstanding because they have reduced 42 million?
Shawn Singh: That includes the prefunded warrants, Elemer.
Mark McPartland: Operator, I believe that's all the time we have for today. We can wrap up the call. So thank you, everyone, for joining today and for your continued interest and support in Vistagen. Again, with our diverse, innovative pipeline, we are encouraged about the future prospects of the company. If you have any additional questions, please don't hesitate to reach out to us at -- via e-mail, ir@vistagen.com, or through the Contact Us section of our website. We also encourage you to register for e-mail updates and stay informed about the latest news and developments from Vistagen via our regular updates. We appreciate your time, engagement and ongoing support, and we look forward to keeping you updated on our continued progress. This concludes our call today. Have a great day.
Shawn Singh: Mark, one more thing, real quick. I just want to clarify. I think I misspoke. I think I said $61.2 million at the end of 12/31/25, it was $61.8 million as reflected in our Q.
Mark McPartland: Thanks, Shawn.
Operator: This concludes today's program. Thank you all for joining. You may now disconnect.